Operator: Good day, ladies and gentlemen. And welcome to the Q3 2013 Kilroy Realty Corp Earnings Conference Call. My name is Jasmine, and I will be your coordinator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Tyler Rose, Executive Vice President and Chief Financial Officer. Please proceed.
Tyler Rose: Good morning, everyone. Thank you for joining us. On the call with me today are John Kilroy; Jeff Hawken; Eli Khouri; David Simon; Heidi Roth; and Michelle Ngo. At the outset I need to say that some of the information we will be discussing is forward looking in nature. Please refer to our supplemental package for statements regarding the forward-looking information in this call and in the supplemental. This call is being telecast live on our website and will be available for replay for the next seven days, both by phone and over the Internet. Our press release and supplemental package have been filed on a Form 8-K with the SEC and both are also available on our website. John will start the call with an overview of the quarter, Jeff will review the conditions in our key markets, and I’ll finish up with financial highlights and updated earnings guidance for 2013. Then we’ll be happy to take your questions. John?
John Kilroy: Thank you, Tyler. Hello, everyone and thank you for joining us today. We had another greater quarter with quality execution across all fronts including leasing, capital recycling, acquisitions, redevelopment, development and our balance sheet. And we are poised to launch the next set of development projects to expand our portfolio and fuel our growth. Let me start with leasing where we continue to generate excellent results. We are on pace with last year’s record leasing year and signed or new or renewing leases on the 510,000 square feet at rental rates that were 7% higher on a cash basis and 21% higher on a GAAP basis. In addition, we have another 639,000 square feet of in place letters of intent. This solid leasing performance continued to boost our occupancy, as we ended the quarter with our stabilized portfolio, 92.2% occupied and 93.7% leased. We were successful in extracting $0.05 per share cash payment from a former tenant driving our FFO to $0.69 for quarter. We made significant progress on our capital recycling program during the quarter. We negotiated dispositions on 70 nonstrategic properties and 3 separate transactions and we will recycle the proceeds into higher value acquisition development opportunities. The first of three transactions, the sale of an older, mostly vacant 60,000 square feet property in Orange County closed earlier this month, generating proceeds of approximately $10 million. We anticipate the remaining two transactions for 13 properties, all located in San Diego will close by yearend. In acquisitions, we completed our purchase of the heights in Del Mar, a transaction we announced last quarter. The Class A office campus is located one of San Diego’s strongest submarkets and is adjacent to our one for sale development project. The Del Mar market continues to outperform with rental rates for the top tier Class A properties excluding parking rents now at $42 per square foot per annum on a triple net basis. The heights includes two existing buildings that are 100% leased and a landside entitled for a future development that currently is anticipated to be under construction by mid 2014. The purchase price for both components was approximately $126 million. On the redevelopment front, we’re making terrific progress on our renovations at Sunset Media Center in Hollywood, Skyline Tower in Bellevue, and 363rd street in San Francisco. In the third quarter, we completed the total renovation of 363rd street which includes the largest roof deck in San Francisco. We have successfully converted the 40-year-old former call center building into a top quality top performing office project, which is now LEED Gold certified and 96% committed. We expect to achieve similar results at Sunset Media and Skyline Tower when the renovations on these two projects are completed early next year. And in development, we remain on time and on budget with our five under construction projects, encompassing 1.5 million square feet in totaling $860 million. At the beginning of the fourth quarter, we completed and delivered the first of these five projects. The completed project is an 88,000 square foot office property located in Mountain View, a submarket of Silicon Valley. The tenant voice and audio mobile technology specialist audience took occupancy of the property and began paying rent on October 1, 2013. We have also been busy preparing the next set of development projects in our near-term growth pipeline. In the fourth quarter, we expect to break ground on three additional development projects, the new office component at Columbia Square, a new office project named Crossing/900 in Redwood City and our modern brick and timber style office building at 333 Brannan Street in San Francisco SoMa District. Phase II of our Columbia Square project, which is located in the heart of a rapidly transforming Hollywood market will include two new LEED Gold office buildings totaling 350,000 square feet and a 200 unit residential tower along with subterranean parking. We are well underway with phase I, the renovation of the historical office buildings in retail and just started construction on the parking structure for phase II. Leasing discussions for the office and retail space are proceeding well and we are seeing significant interest from several prominent entertainment users for spaces ranging from 50,000 square feet to 300,000 square feet. We remain on target to start the residential portion of the project late in 2014, and upon completion of all phases, the Columbia Square project represent a total estimated investment of approximately $385 million. Crossing/900 is our about to commence office development in downtown Redwood City, immediately adjacent to the Caltrain Station, the major public transportation system connecting Silicon Valley with San Francisco. The two office buildings will be LEED Gold, total of approximately 300,000 square feet and have a total of estimated investment of approximately $180 million. Redwood City is experiencing a strong renaissance among both businesses and residents interested in locating or expanding on the San Francisco Peninsula. It has a very attractive location on the bay, close proximity to the airports, to two major freeways, and of course the rail station next door. It has an established urban vibe, an amenity rich town center and a variety of housing options. These are all the things that we look for in our new development projects. We’re making very good progress on the leasing front. There are about 15 major users, requiring a 100,000 square feet or greater that are interested in this project. Our 333 Brannan Street project in the SoMa submarket of San Francisco provides the appeal of the contemporary workspace, enclosed in a 19 century brick and timber design LEED Platinum building located in the heart of the city’s thriving technology district. We have all entitlements and plans now in place to begin construction on the building, which has a total estimated investment of approximately $95 million. Pre-leasing at 333 Brannan is also going well and we are in the early discussions trading paper with a number of users. Commencement of construction will occur later this quarter. All three of these projects share some important fundamentals. They give us the confidence to move forward with our construction. They are all well located in economically vibrant markets that have strong long-term potential, decreasing vacancy rates, rising rental rates, a diversity of housing, and excellent transportation options. Each project will be state-of-the-market product that is ideally positioned to capitalize on the growing demand for collaborative and sustainable office space and each project is designed for densities from seven to eight people per thousand square feet or greater. And given our attractive cost basis, they’re all projected to generate strong returns. In summary we continue to renovate, redevelop and renew our portfolio to meet the needs of the modern tenant. We remain focused on the best locations in some of the best markets in the country. We are delivering the type of product that is in high demand. We are constantly improving the overall quality of our portfolio and we remain a leader in the industry and owning and developing LEED and Energy Star certified buildings. As I said at the outset, we had a great quarter with quality execution across all fronts. We are benefitting from a strong West Coast platform and experienced team which gives us a competitive advantage as we continue to run our business and make decisions that we believe will generate strong earnings growth and build long-term shareholder value. With that, I’ll turn the call over to Jeff for a review of our markets. Jeff?
Jeff Hawken: Thanks John. Hello, everyone. I am happy to report that all of our key markets continue to exhibit economic growth and improving commercial real estate fundamentals. Across California, most costal markets continue to see unemployment trending down and job growth trending up. Since the State’s jobs market bottomed out in February 2010, California has added over 825,000 net new jobs, including 224,000 in the last 12 months. And in the State of Washington greater Seattle’s strong demographics continue to create jobs with the second largest year-over-year drop in unemployment among the country’s top market. Let’s take a market by market look. The Bay Area is ahead of the national economy evidenced by job growth and leading edge productivity and has established itself as the center of technology and information. The region led the nation in tech job growth over the past five years with more than a 50% growth rate. San Francisco had an amazing third quarter, with both absorption and demand moving closer to peak 2012 levels. While the pace over the last couple of years of mega transactions has taken a breather, we are starting to see demand for the 100,000 square foot transactions increase over the last few quarters. The city continues to have the lowest vacancy rate in the country. We are currently 94% leased in the Bay area. Seattle remains a close second in overall performance; Seattle was recently ranked as the sixth strongest overall economy in the country by the U.S. Chamber of Commerce. In our primary Seattle submarkets of Bellevue and Lake Union, Class A vacancy rates declined to 6.2% and 3.9% respectively and rents have continued to increase. In Bellevue there are currently only two available blocks of space greater than 50,000 square feet or so and they are both in older, less attractive product. This has driven Class A's CBD rents to its highest levels since 2008. Bellevue is benefiting from the continued immigration of companies from the suburbs into the CBD. Tenants that have major operations at Bellevue include Microsoft, Expedia, eBay, Concur, Oracle and Cisco. We are currently 96% leased in our Seattle properties. In the third quarter San Diego experienced its 16th consecutive quarter of positive net absorption, including some large tenant move outs in the downtown submarket. More broadly San Diego, which has the third largest GDP in California continues to benefit from a unique set of characteristics, a highly attractive place to live and work, a well-educated workforce and minimal new office supply. Total office use and employment of San Diego is predicted to grow more than 3% per year over the next five years. Our stabilized San Diego portfolio is 93% leased. While San Francisco remains mixed with overall vacancy for the region still in the high teens, however markets with a higher concentration of technology, education and healthcare companies including West L.A. and Hollywood are experiencing rent increases. At our Sunset Media Center property in Hollywood we are now achieving rents 20% higher than our original pro-forma and once our renovations are complete, we expect rent levels to increase further. Across our Los Angeles portfolio, we are now 94% leased. Companywide, as John mentioned we continued to make significant progress on the leasing side, including our 2014 and 2014 explorations. Last quarter we renewed more than 280,000 square feet of space with Delta Dental and Microsoft, and we have a 200,000 square foot LOI with another existing tenant for a 2015 exploration. Assuming we complete this transaction, since the beginning of the year we will have reduced our 2015 explorations by approximately 400 basis points from 18% to 14%. Looking at 2014 lease explorations, we are have 1.1 million square feet or 10% of our portfolio expiring with only four leases greater than 50,000 square feet. Two of those explorations are in San Diego in the first quarter. Across our entire stabilized portfolio we estimate that current rent levels are now slightly below market rates. As a point of reference, early last year we estimated that we were 6% above market. That's an update on our markets. Now I will pass the call to Tyler who will cover our financial results in more detail. Tyler?
Tyler Rose: Thanks Jeff. FFO was $0.69 per share in the third quarter, which included the $0.05 cash payment related to a prior tenant default. The net of $0.64 included $0.01 of acquisition related expenses, about a penny from the equity offering and a penny from lease termination fee. So if you add back these adjustments, our core FFO would have been $0.65 per share, up $0.02 from our internal forecast. You will note that in our financials, we have classified the 14 properties that we are in the process of selling or have sold as held for sale properties as of the end of the third quarter. Excluding the held for sale properties, we ended the third quarter with stabilized occupancy at 92.2%. Including the held for sale properties, our occupancy would have been 91.5%. Our stabilized portfolio was now 93.7% leased. Same-store NOI in the third quarter increased 1.8% on a cash basis and 1.1% on a GAAP basis. This does not include the $0.05 per share of cash payment we received from the prior term in the third quarter as this property is included in discontinued ops. It does include legal expenses related to the one-time payment received in the second quarter. Stripping out those legal costs, third quarter same-store NOI on a cash basis would have been up 2.7%. CapEx was higher in the third quarter, primarily due to increased cost for early lease renewals that Jeff mentioned and one significant tenant improvement allowance from a lease executed in 2011. We raised equity capital during the third quarter, completing a public offering of approximately 6.2 million shares of common at $50 per share for net proceeds of $296 million, and our ATM program generated just over $11 million. With regard to capital recycling, we sold a 15 million L.A. property in the second quarter and as John mentioned, we just completed the sale of a $10 million Orange County property. As we mentioned, we are working to complete the sales of 13 San Diego properties by the end of the year. Overall we have full availability in our bank line, approximately $100 of unrestricted cash and no debt maturities until late 2014. For the remainder of 2013, we estimate development spending to total approximately $125 million. Our current projection for 2014 development spending, assuming the four under construction properties and the three fourth quarter starts totals about $375 million. Before reviewing updated 2013 guidance, I want to remind you that we approach our near-term performance forecasting with a high degree of caution, given all the uncertainties in today's economy, our internal forecasting guidance reflect information and market intelligence as we know it today, any significant shifts in the economy, our markets pent up demand, construction costs and new office supply going forward could have a meaningful impact on our results in ways not currently reflected in our analysis. Those caveats are assumptions for the remainder of 2013 are as follows. In terms of occupancy we said last quarter that we would be in the high ‘92 range. Given all the ins and outs and the dispositions, we now think we’ll be approaching 93%. We are assuming no additional acquisitions or dispositions. Last quarter our FFO guidance was a range of $2.53 to $2.63 per share, taking into consideration of $0.05 payment, $0.03 of dilution from the equity offering over the third and fourth quarters and the $0.02 improvement in core results, we’re increasing our guidance range to $2.60 per share to $2.64 per share. That’s the latest news from KRC. Now I will be happy to take your questions. Operator?
Operator: (Operator Instructions) And your first question comes from the line of Josh Attie from Citi. Please proceed.
Josh Attie - Citi: So you’re moving forward with Columbia Square Crossing/900 and 333 brand in the fourth quarter and then Del Mar early next year. There is no leasing done at these properties yet but you did note a pretty active pipeline in your prepared remarks. When we open up supplementals three or six months from now, should we expect the pipeline to be highly preleased or do you see yourself taking more risk on this brand of projects?
John Kilroy: Well, we certainly hope that that’s going to be as highly preleased based upon the discussions we’re having in all these areas, we have multiple tenants interested in significant space at rents that are at or in some cases significantly above those with performance. So we feel pretty good based upon the demand that we are seeing and the negotiations that we’re having.
Josh Attie - Citi: Is preleasing a requirement for some of these starts in your mind in the fourth quarter?
John Kilroy: I’ve made it clear with regard to the projects that we’ve mentioned here that we felt very comfortable for the last couple of quarters that we would start them without preleasing, although we think we will have significantly seen during the next several quarters.
Josh Attie - Citi: And then on Columbia Square, I know you had talked about bringing in a capital partner for the residential piece previously. Is that still your intention?
John Kilroy: Well, like you’ve said, we’ll bring in an operating partner. Whether it’s a capital partner or not, I don’t think we signaled that but we do have somebody that we’re close to concluding negotiations with. We thought we were going to do it with somebody else. We ended up making what we feel is the better transaction with a better operator that we should be announcing, I would think in the next quarter conference call.
Operator: And your next question comes from the line of Jamie Feldman from Bank of America. Please proceed.
James Feldman - Bank of America: I was hoping we could do a little deeper just in terms of the amount of demand in San Francisco, L. A. and San Diego. I guess starting with San Francisco, just you’d mentioned 100,000 square foot and larger tenants seem to be picking up even more. Can you talk about that? And then L. A. kind of exactly which submarkets do you talk about where things are better and then just San Diego in general?
John Kilroy: Sure. Starting with San Francisco, I was talking with one of the top brokers in the market earlier today and his view of things is pretty much what we see and basically what it was is that the leasing in the first half of ’13 didn’t look as robust compared to the banner year that we saw last year. On the other hand what we’re seeing is that demand and lease activity has really picked up in the third quarter. And his view and I know the view of other brokers and we’re seeing this in our own properties is the demand seems to be up substantially now in the fourth quarter. That’s what we saw last year as well. So the way to think about this is that there are a couple large blocks of space, that I think will get leased within the next six to nine months and I think what you’ll see in San Francisco sometime within the next year, maybe eight months out is a significant additional spike in rents. We’re seeing rents over the course for the last 12 months go from an -- and now this is an average across all buildings, an average around $50 to around $56 today, and people are getting close to asking rent. So obviously some buildings get much better, some buildings don’t do as well. If you’re a 15,000 square foot user or a 10,000 square foot user and you’re looking for commodity space, you can find it in 30 year so different locations within the city. A lot of that’s over in the northern financial district. If you’re looking for technology, open collaborative space most of that wants to be over south of market and people having a hard time finding that. In the case of our 333 Brannan, we have multiple requests for those that want to lease that building. It’s roughly 170,000 feet in its entirety or substantially and some people that want to lease it and then have options on the other buildings that we have in the area to accommodate future growth. So I think what we’re seeing now is we’ve signaled over the last several quarters that we were seeing a lot in the sort of 35,000 to 70,000 foot range, we’re now seeing quite a few in the 100,000 square foot plus range in addition to the smaller tenants. It is not have and have not. Obviously the North Side of Mission has done considerably better as the market has improved, but if you’re on the South Side of market and I said Mission before, but the South Side of market, particularly in the South Financial District and you have space that lends itself more to larger floor plate requirements of the technology crowd. You have something that is in very high demand. So there we’re going see continued very strong leasing based upon everything we’re seeing in renewal and some of the bigger requirements. The other thing I would point out that has happened in San Francisco over the course of the last 10 years and of course we have been here for four, so we’re kind newcomers, but this has been highly spoken about by many people who watch the transformation at San Francisco, is it truly has become a 24x7 city. The amount of people living in San Francisco now versus 10 years ago or 5 years ago has substantially increased. There has been thousands of residential units that have been finished and leased. There are thousands more under constructions that are spoken for. There is thousands more to come. You are seeing the gentrification of Potrero Hil, Noe Valley. These different communities or historically weren’t known as real bedroom communities and now are. You’re seeing the retail and all other amenities and of course the public transportation that goes along with it. So, there really is a remarkable shift and transformation is going on in the city and we’re very proud to be part of it. Moving down South, Silicon Valley
James Feldman - Bank of America: Can you talk a little bit about the risk of supply and how you’re thinking about it?
John Kilroy: Okay, well, yes, there is supply coming on stream and some of that’s been talked for a while, but just bear with me for a second Jamie. In terms of San Francisco right now, you have Foundry Square III, which is 285,000 square feet. We understand that that building is somewhere in neighborhood 80% leased now or greater based upon what the brokers are saying. You have 535 Mission which is 290,000 square feet, which is next to our 100 First building on Mission Street, which Boston Properties is doing. I don’t what their leasing status is. That’s a building that, you don’t have smaller floors. We have 50 Hawthorne which has 53,000 square feet. That’s a Boston Properties’ building and they could speak to that more clearly than I, but I’m sure will do very well. We have 333 Brannan, which is 170,000 square feet that will come on and those buildings I just mentioned by the way are Foundry Square III, 535 Mission, 50 Hawthorne all come on stream either early or late 2014 and 2015 you have 333 Brannan which is 170,000 feet. You have 222nd Street which is Tishman Speyer and JP Morgan 450,000 feet, which is I think a 27 storey building. You have 270 Brannan which is a 200,000 square feet building and you have 345 Brannan, which is currently in an appeals period. So I don’t when that get done, but that’s about 100,000 feet. And then looking at 2015, assuming this project proceeds as quickly as possible to completion, you have 181 Freemont which is a combination condo tower and office building on the lower levels. It has about 400,000 square feet of office. And then in 2017 plus or minus, you have the Transbay Tower and you could talk about some properties about that and get a much better view as to what’s happening there. And then you have the buildings that get renovated or whatever that would add to the supply. And of these buildings, I think the ones that -- we have had opportunity to do several of these things. The buildings we really like are -- Foundry is done, 333 Brannan, and other building on Brannan I think are going to do extremely well because that’s really where people want to be the most and if you look at the rent on triple net basis, other than high floor, high view of the bay from the Financial District, Brannan Buildings I would say get almost the highest rent per square foot on a triple net basis because they’re getting $60 plus rents with a $12 operating cost. So, I don’t see supply as being a worry. I think there is going to be some buildings within the supply group that are not as appealing to the area where you see the strongest demand, but that remains to be seen. Then moving to Silicon Valley, there is about 3.4 million square under construction. If you exclude the corporate campuses that are being built by Apple and Facebook and Google and so forth, of that 67% is preleased and based upon what we’re hearing, I think a good deal more of that will be leased before it’s delivered. And then moving down LA, you ask what markets we like the most. Obviously we like the Westside and we like Hollywood or Long Beach properties. We’re not going to build anymore there, I don’t think, but we like that location. It’s served both counties very well, sort of ambivalent on the rest of LA and never been a big fan of downtown. In terms of San Diego, I really like what’s happening in the Sorrento Mesa Market and in the Del Mar Market. In Sorrento Mesa, bear with me for a second. In the Class A, you have vacancy of 7.2%. You have asking rents that are in the sort of low 30s, triple net. I think if you get a new building there, you’d command a significant premium to the rents I just mentioned. There is a - one space of 25,000 - 26,000 square feet that is available in terms of blocks of larger space. So I like that market a lot. And there is very strong demand. In terms of, also in San Diego and Del Mar, like what’s going on there. Rents are now in the $42 triple net range plus parking. I think those are going to grow. That’s for the top tier class A. The vacancy rate is single digit. If you look at top tier class A, if you look at all class A, which is anything over four-storey building, no matter when it was built, it’s about a 11% or 12%. We think that market is going to do very well, based upon discussions we are having in that area. And then just not a shortcut, Bellevue Washington and Lake Union; Lake Union has got a number of buildings that are underway or planned, most of which are pre-leased. We are not building anything there. We don’t have anything under construction, nor do we own development sites in Washington at this point but we really like what’s happening in Bellevue. Rents are at the high point. Before it was about $35 - $36 triple net, plus about $6 parking on top of that. And the market hasn’t reached that, but I think, based upon the deals we’re doing now, are about $33 triple that plus the parking. There are only two buildings that have 50,000 square feet, and then they are both older 1970 style buildings. You are seeing a big increase in the number of people that want to move into Bellevue and Lake Union from the suburbs. That continues to be the trend we see throughout all of our markets. And there again you have a vibrant downtown, 24x7 living amenities et cetera. So that’s kind of what’s going on in our markets, long answer.
Operator: And your next question comes from the line of David Toti from Cantor Fitzgerald. Please proceed.
David Toti - Cantor Fitzgerald: Just two quick questions. The first, you’ve spoken quite a bit John, about market strength and we’ve seen it first hand in trying some of your markets recently. But it seems that the tenant improvement numbers continued to tick up but I know those are kind of lumpy. But are you seeing a commensurate improvement in sort of tenanting costs that’s going on with some of the sort of pricing power in the market strength or is that really going to lag into the next year, in your opinion?
John Kilroy: Well, it bounces around. I mean, one thing that we typically do, frankly sometimes we could criticize more, but we tend to do longer leases than shorter leases. Say you end up a little bit more TI allowance, but it’s lumpy. Tyler you’ve got the map. It was up this quarter over the last quarter. A lot of that just deals with the nature of the transactions. It’s kind of all over the lot but, but I think anytime you see an improvement in market demands, particularly when you get down into under 10% vacancy that generally you have to give less TI and you get better rents and all the other terms and so that’s the trend I think we are going to see. It’s just lumpy.
David Toti - Cantor Fitzgerald: We may see some strengthening in the beginning part of next year, over 14 event.
John Kilroy: Well, yes, again it depends on the assets and the markets. As Jeff mentioned, all of our markets are seeing pretty good fundamentals. Some are infinitely better than others. It’s hard to compare San Francisco and West LA, or San Francisco and San Diego. But I do think we will see a trend, but there will be the occasional lump here and there. That’s just the nature of our business.
David Toti - Cantor Fitzgerald: Okay. And then I just have one very luck [ph] filled question. Have you guys considered partnering with BXP on the Transbay project? 
John Kilroy: No, we didn’t consider. Before BXP we haven’t considered it, that we have announced.
Operator: And your next question comes from the line of Gabe Hilmoe from UBS. Please proceed.
Gabe Hilmoe - UBS: Maybe a quick question for Jeff. In terms of the 14 leased roll and I guess the million square feet expiry, are there any known move outs expected that we should be thinking about?
Jeff Hawken: Yes, as I mentioned in my remarks, we’ve got two in the first quarter in San Diego. Both, it’s a 130,000 and another building is 120,000. One of those was actually re-leased and we’ve got activity on the second. And then we’ve got a 60,000 square foot building in the third quarter in San Diego that’s likely to move out a little, we don’t know for sure. So out of the four leases of 50,000 square feet, I’ve dealt with three. The other one is in LA and we are in the process of renewing that one.
Gabe Hilmoe - UBS: Then John, just a quick one for you. Just on the comments regarding Seattle and the occupancy and rent trends there, where does that market need to get to where you become more comfortable expanding in a bigger way there?
John Kilroy: Well I would love to see us grow for the right assets. We are, I don't want to say a slave, but we’re very, very focused on what I call my circles and squares. If it's not in a zone we want to be in we’re not going to do it. If it’s not a building with a physicality, whether we can develop or buy, that really fits the modern tenant, we’re not going to do it, and then of course it's a question of where we can make money and so forth. With regards to, the two markets that we like up there are South Lake Union. We bought there and we're not developing anything there, unless we find something that is unique, I think we have missed most likely the South Lake Union build development in this current cycle, because there is too many people ahead of us. Things could change, we could end up partnering with somebody. We’re not having any discussions to that. So who knows. In Bellevue, we bought the buildings that we thought were really good. We passed on the other ones that came up. There is some more that are going to transact. There are older, 70s or 80s style buildings that don't fit our square, don't fit our physicality. They’re well located. I just don't get real comfortable in that. From a development standpoint there is a couple of sites that can be developed in Bellevue. There is a handful of them, some are far better than others and the rents are not far off where ultimately it could justify construction. We're looking at those kinds of things as we do in each and every market. I’m not signaling anything. But I think we’re at the point where we’ve moved pretty quickly in this cycle in my view up and down the coast where it went from, you could acquire at big discounts to replacement cost, great assets or assets that you would value add two great assets in core markets, core product. That's gone other than at the margin. And the value add stuff in the great areas, there are still some of that. You got to work harder and we think we are a sharp shooter and we manage to pull in some of that. And then of course developments in area that we have is a particular core strength of the company and it’s one of the reasons you see us talking about it because I don't like developing empty buildings. I like developing leased buildings. I like developing when you have multiple tenants that are interested in the space, seriously interested at rates that make sense and I think we'll see some of that in the Greater Bellevue Washington area and that's likely where we would grow first. Having said that watch, something will come in tomorrow that Eli will bring in that makes sense that’s an existing acquisition but I said that a little kiddingly. I just think acquisitions are really tough right now.
Operator: And your next question the line of Craig Mailman from KeyBanc Capital Markets. Please proceed.
Craig Mailman - KeyBanc Capital Markets: Just curious on the San Diego sale, are you guys willing to give a contract price on that or maybe just ballpark of how far above book?
Tyler Rose: No, we’re not going to discuss purchase point at this point. As John said we’re hoping to close by the end of the year. We typically don't discuss the purchase price until we close the transactions and we had put the carrying value on to our balance sheet for the help of sale, but that really has no relation to the purchase price. So you can't really use that number.
Craig Mailman - KeyBanc Capital Markets: I guess maybe another way, are you guys going to blow through the high end of the $300 million disposition guidance for the year?
Tyler Rose: We're feeling comfortable with where we're at. That's as far as we're going to go until the people have gone hard, it's a close in December. But one thing that we have learned and I have put my foot in my mouth too many times on these calls talking about deals and everybody reads our transcripts, whether it's our competitors that are private or public or tenants or brokers and sometimes it works against this negotiation. So we have to be a little bit more cautious.
Craig Mailman - KeyBanc Capital Markets: That’s fair. And just curious, moving to San Francisco you guys were early, have kind of benefited from that and you are still developing there. Just curious what your thoughts are on potentially taking some shifts off the table there to redeploy into the developments, rather than sell assets in the markets or hit the equity market again.
John Kilroy: We're always looking; we got a building or two that we’re looking at, nothing that I want to signal at this time. Most of the buildings are multi-tenant. There is still lot of upside we think to manage the rollovers or the renewals in those assets. But we're obviously; we're not married to any asset. I mean I love all our buildings and sometimes I love it when somebody else buys them at a great price.
Operator: And your next question comes from the line of Vance Edelson from Morgan Stanley. Please proceed.
Vance Edelson - Morgan Stanley: First on the penny of acquisitions related expense, we haven't seen that called out since I think the fourth quarter of last year when you were very active acquiring. In fact we had a couple of quarters or maybe just one that had acquisitions but no special mention of the expenses. So is the $0.01 this quarter largely in line with what you would expect for one acquisition or for any reason were the expenses higher this time?
John Kilroy: There was no particular reason to call it out, whether it was higher or lower. We had the one acquisition during the quarter, which was the main, we look at several acquisitions and there are some costs with dead deals as well that we have to put into that account. But most of it related to the high tender market.
Vance Edelson - Morgan Stanley: And then on the future development pipeline in San Diego, it’s still largely PBD on the start date. How does this fit with your big picture views on San Diego? You’ve obviously provided some pretty favorable commentary for quarter two in a row now. So in your mind, when might it make sense to proceed with some of the projects?
John Kilroy: I can see starting what we call Lot 8, which is in Sorrento Mesa, it’s about a $75 million 180,000 square foot office building. I could see the potential starting in that sometime in the not too distant future based upon visible demand and the positive space that’s available in Class A. I could see starting the building that I mentioned in my comments that it’s roughly somewhere around 80,000 feet plus or minus, this part of the heights in Del Mar, that we’re having discussions with people on that building right now. The numbers make a lot of sense. And then we have some negotiations going on that we’ve mentioned before in connection with Santa Fe Summit where the major user, and most of you know who it is and I’m not going to verify that is who you think it is or not, just because I don’t want to go there. But we have a potential transaction that it’s too early to handicap but we are having discussions for somebody that would take all of Santa Fe Summit plus some property that we would acquire next door and that could be a very large transaction, very large.
Operator: And your next question comes from the line of Michael Knott from Green Street Advisors. Please proceed.
Michael Knott - Green Street Advisors: Hey guys, everything sounds mostly positive. But I’m curious on, it looks like you’re getting a nice occupancy pop from selling the San Diego assets but sounds like the full year -- the year end occupancy guidance isn’t really changing that materially. Just curious if you hadn’t done the sale, would your guidance be coming down a little bit in terms of that specific occupancy figure or am I just not processed that way?
John Kilroy: No, it would come down. Again it’s within a range here, we’re talking 50 basis points but it would have come down potentially a little bit. In our original forecast which we included the disposition properties, we had assumed some leasing in that portfolio. So that would have helped the numbers. So we think we’ll do a little bit better that we had done before.
Michael Knott - Green Street Advisors: Okay, and then just looking at the light role for 2014 and then also in 2016. Is this going to be the part of the cycle where we start to see exceptionally high occupancy rates for your portfolio, like we’ve seen in the past just because the role is going to be -- you’ve mitigated some of that?
John Kilroy: That’s the plan.
Michael Knott - Green Street Advisors: Okay, and then rents expiring next year, a little bit below your portfolio average and it sounds like the portfolio average is below market. Is that even more true of next year’s expiries?
John Kilroy: Yes, for ’14 our current projections are roughly 4% - 5% under market.
Michael Knott - Green Street Advisors: Okay, and then any color on one for sale? It sounds like the homeowners there and the local groups are still somewhat against your project?
John Kilroy: I think it’s always a loud minority that are against everything. We feel that the project is far better positioned now, than it was earlier in the year when we had this disgusting mare [ph] down there that has handed out everywhere including in places you got thrown out of office for and I guess that’s the best way I can say it. But we’ve had very constructive meetings with the planning department and so forth and we’re optimistic that we’re going to see approval next year and if we do, we think we have a just an absolute homerun project.
Operator: And your next question comes from the line of Brendan Maiorana from Wells Fargo Securities. Please proceed.
Brendan Maiorana - Wells Fargo Securities: I just wanted to get a little more detail. I think you guys had mentioned 639,000 square feet of leases under LOI. Can you just kind of give a breakout of what’s maybe new leasing versus renewal and sort of what that implies for occupancy? And maybe John as you said, does that sort of portend that you could reach those very high occupancy numbers next year, given the level of leases under LOI?
Jeff Hawken: Sure, this is Jeff. On the 639,000 of LOIs, 51% is new and 49% of that number is renewal.
Brendan Maiorana - Wells Fargo Securities: And if I look at the spread between the leased and the occupied rate, it’s 150 basis points today. How do you think that -- is that a good mid cycle number for KRC or do you think that you can kind of narrow that spread, such as the occupancy moves up even if the lease rate doesn’t as we look out over the next several quarters?
Jeff Hawken: Yes, I mean it’s really it’s hard to predict that spread because if you do one large lease, we can move that number substantially. I think the 93.7% leased, once you get to sort ‘94 - ‘95 here, it’s frictional vacancy. So I don’t think your lease percentage is going to go much above that but it’s hard to handicap that spread.
Brendan Maiorana - Wells Fargo Securities: And then Tyler, I think we talked a little bit about this last quarter but it seems like the expenses, the operating expenses have been higher this year and maybe there are just some anomalous things that have happened in the quarters but is that something that we should expect OpEx to start to normalize and flat line as we go out over the next few quarters or do you think that there is still just pressure on operating expenses and that increases are likely as we go forward?
Tyler Rose: Well, some of those of operating expense increases are related to the legal fees that we have incurred as part of the onetime gain that we got in the second quarter as I mentioned. So, that shouldn’t continue to hit the numbers on a normalized basis. So we also had utility insurance and tax increases but some of that we get recovered on. So I wouldn’t expect the same level of increases because overtime we’re going to work through those legal issues and we won’t have the legal expenses.
Brendan Maiorana - Wells Fargo Securities: I mean is this year, just seemed like it’s been where you guys have been hit a little bit, as we go out next year if you’re able to get revenue increases comparable to what you’ve shown, your same store numbers probably likely move higher.
Tyler Rose: Yes, I think so. Again, we haven’t given guidance for 2014 yet and we’ll do that in the next quarter’s call but our margins average in the 70% range and that should continue. So at this point we think we should see some more improvement next year but we’ll provide more details on that on the next call.
Operator: And your next question comes from the line of John Guinee from Stifel. Please proceed. 
John Guinee - Stifel: In anticipation of NAREIT in a few weeks, probably Eli, but maybe also David Simon wants to chip in; can you talk about what’s on the market for sale and what kind of pricing you’re expecting and the big deals that are floating around in each of your markets?
Eli Khouri: This is Eli. In terms of just specifically, we had talked a long time about Q4 being an increase in what’s available and we’ve actually seen that. Right now, I would say that in the market there are two really super core assets. One is Century Plaza down in Century City, that Dave can talk about it if we needed to give you other details and up here 101 Second Street, which I think are those, at least parts of that, particularly the good building down in Century City, that the best building are really core and it’s attracting very, very international attention. And then more broadly we’ve seen whole smattering of I would call second tier core, if you will here in San Francisco and Silicon Valley. So, it has come to pass that there have been more offerings and I think that the core pricing is going to be as strong as we’ve seen it in terms of price per square foot and in terms of cap rate, the debt markets are functioning really well and the debt of equity capital is really strong. So as John said, it’s very, very tough out there. I don’t think that means that we’re blanked out of the market. There have always been seams that we can mine, whether it’s a relationship, whether it’s a broken process, whether it’s a real high value add, whether it’s sharp shot or whatever it might be or kind of a yearend of type of situation. So we may still find them, but it is extremely, extremely competitive. It hasn’t relented it all and I would say it has firmed up since the last call and continually over time.
John Kilroy: Yes, before David gets in there, this is John. There are some pretty recent examples. There is the building that was formally the Twitter headquarters, that it’s pretty well located. It’s not too far from our 360 Third. It’s not as on as prominent as street and so forth. That building address is what?
Jeff Hawken: 795 Folsom.
John Kilroy: 795 Folsom. That building went for $600 per square foot and it is kind of in the condition that, a little bit better on the inside and it’s pretty well leased, 80% or so but it’s a building. It’s kind of in a condition that 360 Third was when we first bought it with not as good bones and that’s pretty strong pricing. That deal requires that sort of everything go right and that credit of tenant stays solid and you’re able to make deals in the sort of the mid 60s is, Eli, in order to just scrabble of sort of a 6% return or so in due course. So there are buildings like that, that are traded very dearly for what they are and then as Eli pointed out, there’s some of the real uber core stuff that every sovereign and most major insurance companies or whatever would love to own, that are going to trade at cap rates that’s are probably in the fours and at high prices per square foot and we’ve stated it all. And what we’ve really seen a lot is money that’s floated also to the suburban markets. We’ve taken advantage of that, San Diego, just because they’re trying to find better yields.
David Simon: I was just going to add a couple more John. On the Westside, you know Lantana was a big sale, high $600s a foot. 201 [ph] has commented on Century City, older building, traded to Commonwealth north of $600 a foot. As Eli said, Century Park, the towers are going to be uber, uber core and with really thin yields and the price per foots are going to potentially record setting in there. So the quality stuff and the core stuff is really trading extraordinarily rich pricing right now.
John Guinee - Stifel: And where are these numbers relative to replacement cost, John?
John Kilroy: Well it depends. Until some of the stuff transacts, I think that stuff that the pricing we've heard rumors about with regard to what this big asset that’s several million square feet in Century City goes for, if it goes for what it's rumored to be, that'll be above replacement cost, a fair bit. In San Francisco I don't know what 201 [ph] exactly is going to go for and so replacement cost I think has gone up substantially in most of these markets simply because with the development, with construction going on, there's a lot of hospitals, a lot of apartments. There are some office buildings et cetera, et cetera. Commodity pricing has increased, steel's gone up, concrete's gone up et cetera, et cetera. Labor's certainly not coming down. So where things are at a replacement cost, I can't. Until we see some of these things transact I don't know. I can say that some of the buildings that have transacted, that have been older buildings, that have good floor plates and so forth have transacted way above the replacement cost, whether, some of these things you couldn't get approved today. Like our 363rd building, which we're now 96% committed, you never could get that building approved in that area of the city, because they want tall little skinny buildings with tiny little floor plates. So kind of wandering around in my answer but we're seeing some transactions that are certainly going above replacement cost. I think replacement cost we're going to see go up substantially over the next few years guys.
John Guinee - Stifel: And just David Simon, just to confirm the commonwealth deal was with the private guys, not the public REIT I think, right?
David Simon: Yes.
Operator: And your next question comes from the line of Dustin Cho from Deutsche Bank, please proceed.
Dustin Cho - Deutsche Bank: Just wanted to go back to the 1Q expiries that you know about that one of them sounds like you've already addressed and one there's activity on, but just curious on how much downtime, if any that you expect on those?
John Kilroy: The one that we’ve released, the lease expires end of February and the commencement date is I believe it's August of next year. So that's the timing for that one. The other one again we have activity but we haven't landed a deal yet.
Dustin Cho - Deutsche Bank: Got you, okay. And just going back to your comment John about the material cost and replacement cost going up and labor cost going up, I'm just curious, how much inflation you’ve seen on development cost or construction cost overall, maybe on a year-over-year basis here recently.
John Kilroy: I can answer that as best of my ability but I don't have Justin Spark, some of our guys here that deal with that every day in every market could give you the [indiscernible]. So with that proviso, we've seen not everything go up and not in every market. Southern California is still holding fairly good compared to San Francisco which has definitely escalated. Seattle's held for the past eight months pretty steady but it's, let us talk about that in our next call, or call us, call Tyler and we’ll get you better data there, I just don’t want to speculate, I don't just have it in my head and I don't want to put my foot in my mouth. I'm Irish, so I've done that enough.
Dustin Cho - Deutsche Bank: Okay, just moving back to the markets, you gave a tremendous amount of color on supply demand in each of your markets. Just curious if you could just maybe boil that down a little bit and just, as we think about or as you think about market rents for next year, how do you see those trending in LA, San Francisco, Seattle, San Diego?
John Kilroy: Well rents have gone up. If we take San Diego, we've seen some pretty significant increases in rents over the past couple of years and Sorrento Mesa and Del Mar to the point where we’re feeling pretty comfortable, that with the visible demand we see, we’re going to be able to get very good rents. That's not even throughout San Diego by any stretch of the imagination. It still is a -- I kind of break it down this way, okay? Let me just step back. We throw our dispositions over the course of the last two years, with what we have in the pipeline to sell now and the $500 million we sold last year. We basically transformed the company increasingly towards CBD, more urban type space or what I'll call sort of super suburban. And by super suburban I'm talking about spaces where there's clusters where people want to be, that has very similar characteristics to the urban areas and the technology areas where people want to be, transportation et cetera, et cetera and the rents that you see in those markets are escalating at far greater rates than they are in call it typical suburbia and it's because those are the places where people find that they can attract and retain the most important ingredient they have in their industries, which is their people and people cost represents roughly 80% of most people’s cost structure in these technological companies and real estate represents sort of 5%. So, if you can pay little bit more for your real estate, but attract better people and retain them, it’s tremendous leverage. So, those are where you’re going to see the highest increases in rent and those are going to be markets that we’re very focused in, like Lake Union, like Bellevue, like Hollywood. Hollywood we’ve seen 20% increase in rents over the last year so and I think we’re going to see substantially more for truly class A space. Most of which called Class A in that market is not Class A, it’s junk. In the Westside I think you’re going to see increases around, I’m willing to project where it’s going to be because everybody talks about $3 rents or $10 rents and obviously $10 rents are not going to go up as fast as $3 rents for some of our products. In San Francisco I would be - we’re seeing rent increases, average rents from the early 50s to mid 56s over the course of the last year. I think you’re going to see a significant spike somewhere in the next year and whether that spike is $5 a foot or whether it’s $10 a foot, I don’t know. It’s not going to be for the commodity space, it just won’t be, until that space gets consumed. So, directionally I think we’re going to see some pretty good spikes, based upon the demand and based upon the supply characteristics. In Redwood City, to give you an idea, the deals that we’re negotiating down there, all are in the $50 plus triple net plus parking rents per square foot, all of them. And then that’s, and sometimes well north of that. And that’s up over, the rents in comparable projects a year ago were in sort of the $36, $38, tripling that range. So, it kind of give you directionally, I know I’m jumping around. I can’t real specific about any particular market at any given point in time because it changes so dramatically and what we’re seeing though is a continued trend of people moving out of suburbia into these super suburban or CBD type environments for all the reasons that you’ve all have heard me mentioned over the past five years and I don’t see that changing. So that should be good for rents.
Operator:  And your final question comes from George Auerbach from ISI Group. Please proceed.
George Auerbach - ISI Group: John, I know you’re reluctant to talk about transactions before they close but just on the developments, it sounds like you have a lot of activity. What do you think the odds are that you have significant prerelease at one or more of the three new starts by this time, by your next conference call next year?
John Kilroy: You mean by the fourth quarter conference call. 
George Auerbach - ISI Group: Yes. 
John Kilroy: I think we should have something based on what we’re doing now, but I don’t want to jinx it George. Unfortunately I don’t get to the make the decision when the other people sign but one thing I’ve learned with, particularly the entertainment companies they are slower than molasses because they have so many different constituents that they have to bring together. In the case of some other people we’re dealing what they are, these are major consolidations. So you’re talking about multiple groups. Then all the kittens have to be heard, maybe I’m mixing metaphors but everybody has got to be sort of buy into these things and that’s the process. With some of the tech companies that we’re dealing with and some of the other legal firms et cetera up in the Bay area, I can tell you that most of these people have occupancy requirements that suggest they need to make a decision very soon. So, that’s why I think we’ll be able to feel down something. On the other end I don’t want to get pinned down. One thing that I do like, and David Simon pointed this out to me regularly, as did some of our other people, is that while we’ve been negotiating with some of these folks, the markets have continued to improve with regard to where rents are and where availabilities are. So I like that trend but ultimately as I always tell our people, I’m into running around between the 20s. I’m into scoring and scoring is, ultimately you got to put to tenant and you got to get into the end zone with the tenant and I think we’re doing a very good job, making substantial progress on almost all fronts. So, that’s a long way of saying; I hope so.
George Auerbach - ISI Group: That’s good color. And lastly Tyler, just in funding for the development spend, you had $200 million of cash plus the sale proceeds coming hopefully in December. Given the $500 million or so of development spend you laid out, is it fair to say that the capital raising is excluding new starts where acquisitions, pretty much behind you?
Tyler Rose: Based on the numbers you just laid out, we have a 100 million of cash, not 200 million of cash but we have a fair amount of capital right now. So, a near term financing, whether it’s debt or equity doesn’t seem necessary, although interest rates are pretty attractive right now. They declined 50 basis points over the last months or so and so would we do a bond offering right now? Probably not. But we need to think you for the future as well and you don’t know on the acquisition front if we find something. So I can’t say that we’re not going to do more financing. There was for just what you laid out. If there were no new acquisitions, no other development starts, yes, we have capital.
Operator: And there are no remaining questions at this time. I would like to hand the call back over to Mr. Tyler Rose for any closing remarks?
Tyler Rose: Thank you for joining us today. We appreciate your interest in KRC.